Operator: Greetings, and welcome to the CareCloud, Inc. Third Quarter 2025 Results Conference Call. [Operator Instructions] As a reminder, this conference is being recorded. I would now like to turn the conference over to your host, Kristen Rothe. You may begin.
Kristen Rothe: Good morning, everyone. Welcome to CareCloud's Third Quarter 2025 Conference Call. On today's call are Mahmud Haq, our Founder and Executive Chairman; Co-Chief Executive Officer, Stephen Snyder and Hadi Chaudhry; and Norman Roth, our Interim Chief Financial Officer and Corporate Controller. Before we begin, I would like to remind you that certain statements made during this conference call are forward-looking statements within the meaning of Section 27A of the Securities Act of 1933 as amended and Section 21E of the Securities Exchange Act of 1934 as amended. All statements other than statements of historical fact made during this conference are forward-looking statements, including, without limitation, statements regarding our expectations and guidance for future financial and operational performance, expected growth, business outlook and potential organic growth and acquisitions. Forward-looking statements may sometimes be identified with words such as will, may, expect, plan, anticipate, approximately, upcoming, belief, estimate or similar terminology and the negative of these terms. Forward-looking statements are not promises or guarantees of future performance and are subject to a variety of risks and uncertainties, many of which are beyond our control, which could cause actual results to differ materially from those contemplated in these forward-looking statements. These statements reflect our opinions only as to the date of this presentation, and we undertake no obligation to revise these forward-looking statements in light of new information or future events. Please refer to our press release and our reports filed with the Securities and Exchange Commission, where you will find a more comprehensive discussion of our performance and factors that could cause actual results to differ materially from these forward-looking statements. For anyone who dialed into this call by telephone, you may want to download our third quarter 2025 earnings presentation. Please visit our Investor Relations site, ir.carecloud.com., click on News and Events, then click IR calendar, click on Third Quarter 2025 Results Conference Call and download the earnings presentation. Finally, on today's call, we may refer to certain non-GAAP financial measures. Please refer to today's press release announcing our third quarter results and for a reconciliation of these non-GAAP performance measures to our GAAP financial results. With that said, I'll now turn the call over to our Co-CEO, Stephen Snyder. Stephen?
Stephen Snyder: Thank you, Kristen, and good morning, everyone. We appreciate you joining us as we discuss our year-to-date performance and progress against our strategic objectives. Q3 was a truly transformational quarter for CareCloud. We delivered strong results and hit important AI milestones while simultaneously closing 2 strategic acquisitions that expanded our reach into the hospital market and deepened our analytics and benchmarking capabilities. I'm excited about what this means for our overall trajectory and for the value we can create for providers in today's market. Also, we are pleased to be raising full year revenue guidance to $117 million to $119 million, up from the $111 million to $114 million we set at the beginning of the year. And we are reaffirming adjusted EBITDA guidance of $26 million to $28 million and GAAP EPS guidance of $0.10 to $0.13, reflecting the momentum we are seeing and disciplined execution. Turning to the quarter. CareCloud delivered another period of profitable growth with revenue of $31.1 million, an increase of 9% from the same period last year. Further, growth is converting to earnings power. GAAP EPS improved by $0.08 year-over-year to $0.04 and adjusted EBITDA increased 13% to $7.7 million, demonstrating operating leverage in our model. I'll come back to guidance in a moment. But first, I want to go deeper on the 2 strategic acquisitions that are reshaping the company, namely Medsphere and Map App. First, on August 22, we completed the acquisition of the assets of the Medsphere Systems Corporation. This transaction represents a significant expansion of CareCloud into the inpatient market. Historically, CareCloud has been known primarily for its ambulatory solutions, revenue cycle and technology-enabled services. Medsphere immediately broadens that profile. We can now serve community hospitals, regional systems and critical access hospitals with a full stack that includes Care View, an integrated inpatient EHR, RCM Cloud, which extends our revenue cycle capabilities into hospital billing and collections; Wellsoft, a class recognized emergency department information system, HealthLine for hospital supply chain management, ChartLogic, our ambulatory EHR and practice management suite, which has a particular strength in the surgical subspecialties such as orthopedics, Marketware, which provides physician relationship management and referral analytics to grow service lines and reduce referral leakage and managed IT services for implementation, interface management, infrastructure support and a 24/7 help desk. Put simply, we've evolved from an ambulatory first company to serving the entire care continuum. We can now support the full patient clinician journey from the doctor's office or outpatient clinic to the emergency department into the inpatient bed through the revenue cycle and even into the supply chain. That is a fundamentally different and stronger posture for CareCloud. Scale matters here as well. Medsphere brings a national network of hospitals and gives us immediate hospital reach and credibility of buyers who are often priced out of large enterprise suites, but still need AI-enabled capabilities to operate. Consistent with our playbook, we were disciplined in how we financed it. We acquired Medsphere for $16.5 million, funding roughly half with cash on hand and the balance under our new credit facility. Since closing in late August, we rapidly delevered and have already reduced the finance portion by nearly half. And today, the outstanding balance on the line of credit is under $5 million. In other words, approximately 70% of the purchase price has been funded from our internally generated cash, and we expect to pay off the remaining balance to 0 over the upcoming months. Further, we executed this plan with no dilution to common shareholders. That is what we mean by disciplined capital allocation. We added an at-scale hospital IT platform and client base while strengthening the balance sheet and driving positive cash flow. Our near-term integration priorities are straightforward. First, cross-sell and upsell. We are beginning to introduce AI-driven revenue cycle services, analytics and automation across the Medsphere hospital footprint to help facilities collect cash faster and at higher levels, address staffing constraints and gain access to integrated AI solutions that were previously out of their reach. Second, infrastructure leverage. We are aligning Medsphere's support implementation and managed services with CareCloud's operating model to accelerate go-lives and lower support cost per client, supporting margin expansion over time. Medsphere is not just more revenue, it is strategic positioning, placing us firmly inside the hospital IT stack with deployed assets and creating a national cross-sell channel for our AI and RCM automation. The second transaction since our last earnings call was our acquisition of Map App from the Healthcare Financial Management Association, which closed on October 1, alongside a long-term joint marketing agreement. Map App is a hospital benchmarking and performance analytics platform used by leading hospitals and integrated delivery networks to measure and compare revenue cycle metrics such as cash collections efficiency, denial performance and cost to collect, exactly the levers CFOs and revenue cycle leaders are focused on right now. HFMA built this tool to show with clarity where an organization is underperforming and what best-in-class looks like. That matters for us for multiple reasons. First, we move up the decision stack. We can now walk into a CFO conversation leading with benchmarking insights and tie gaps directly to our solutions. Second, we create an analytics-led plan of action. Map App can identify the problems and CareCloud's RCM capabilities and AI automation can then in turn provide the solutions. Third, through our joint marketing agreement with HFMA, we further extend our reach and our credibility in the hospital finance leadership. From a near-term revenue standpoint, Map App is about improving win rates and expansions into 2026 and beyond, particularly on top of the Medsphere base. And there is a tight product fit with our AI center of excellence. We intend to enrich map benchmarks with AI-driven recommendations where a provider, for instance, is underperforming, the expected dollar impact of closing that gap and the automation to prioritize first. That is where the market is going, and we intend to lead it. Let me close with how we see the path forward. Again, we are increasing our full year 2025 revenue guidance to a range of $117 million to $119 million and reaffirming adjusted EBITDA guidance of $26 million to $28 million with $0.10 to $0.13 of GAAP EPS. More importantly, we believe the combination of Medsphere and Map App positions CareCloud very differently from a year ago. We now have a credible hospital presence covering inpatient EHR, ED systems, RCM technology, analytics, supply chain and managed IT already deployed in facilities across the country. And we have a benchmarking engine that allows us to start commercial conversations with data, not just a pitch. And we have an AI center of excellence that sits on top of both, driving targeted automation, measurable financial benefits and operating leverage. We're doing all this while remaining profitable, generating cash and preserving flexibility. Said simply, we are building an integrated AI-enabled ambulatory and hospital platform that's designed to meet and exceed the needs of providers in today's market. With that, I'll turn the floor over to Hadi to discuss how we are productizing AI inside clinical and strike that stop. With that, I'll turn the floor over to Hadi to discuss how we are productizing AI inside clinical and revenue cycle workflows and then to Norm for additional financial details. Hadi?
Hadi Chaudhry: Thank you, Steve, and good morning, everyone. I would like to start by echoing Steve's comments and thanking all of you for joining us today. Artificial intelligence remains at the center of CareCloud's transformation strategy, driving both operational efficiency and long-term growth. Over the past year, we have made measurable progress embedding AI across our platform, improving clinical documentation, accelerating revenue cycle performance and modernizing patient engagement. Through our AI center of excellence, we are rapidly converting innovation into results, enhancing client productivity, reducing costs and positioning CareCloud as a scalable differentiated player in the health care technology landscape. One of the most exciting developments from our AI center of excellence is our upcoming Agentic AI front desk solution, which is currently in advanced pilot testing and scheduled for formal launch in mid-December. This next-generation multilingual voice-driven digital assistant autonomously manage patient calls, handling appointment scheduling, rescheduling and cancellations, new patient registrations, prescription refills, lab result inquiries, preventive care reminders, billing questions and referral requests, all through natural conversational interactions. Operating 24/7 with no hold times, it can securely access, process and where needed, update real-time clinical and financial data to deliver accurate contextual responses. The system is fully integrated with CareCloud's EHR and practice management platforms and can also interface with other leading systems across the industry. To the best of my knowledge, none of our direct competitors are offering this level of proprietary AI capabilities or depth. In our pilot deployments, the Agentic AI front desk solution has already delivered strong results, successfully handling over 70% of incoming patient calls end-to-end without human intervention and achieving over 80% success in appointment scheduling and related tasks. The pilot included calls in multiple languages, roughly 90% English and 10% Spanish, demonstrating the system's ability to serve diverse patient population [indiscernible]. By reducing administrative burden, eliminating wait times, improving patient access and removing language barriers, this solution creates measurable efficiency gains and represents a major growth opportunity for CareCloud as we scale its deployment. Looking across both our client base and the broader market, the opportunity for this technology is significant. As a fully integrated and highly scalable solution, the Agentic AI front desk is positioned to transform patient communication across both ambulatory and hospital settings. We see strong potential to deepen relationship with existing clients while expanding adoption among new health care organizations, unlocking meaningful recurring revenue opportunities as this solution scale. At the end of my remarks, we will play a brief recording of a real patient call that highlights the depth and capability of our Agentic AI solution. We have chosen a more complex interaction rather than a routine scheduling call to show the system sophistication and versatility. This recording was shared with patient consent and all protected health information has been removed in full compliance with HIPAA. Following our recent acquisition of Medsphere, we are making steady progress on the integration and modernization of their platform portfolio. Our road map is centered on merging Medsphere's Care View inpatient system with CareCloud's ONC-certified CAH platform, creating a unified next-generation solution tailored for community and critical access hospitals. A major focus is on reestablishing Care View as an industry-leading mobile-friendly platform designed to simplify workflows for physicians and nurses while improving speed, usability and access across devices. In addition, ChartLogic customers will gain access to CareCloud's proprietary EHR, practice management and AI-enabled capabilities, expanding the value of our combined portfolio. We are also working on plans to advance the recently acquired HFMA Map App, a benchmarking tool that helps providers compare key operational and financial metrics. Our goal is to enhance it with AI-driven analytics and predictive insights, transforming static benchmarks into actionable intelligence and further extending our AI footprint to help health care leaders optimize performance in real time. Together, these initiatives reflect how CareCloud is evolving into a unified AI-driven health care technology company, now serving both the hospital and ambulatory segments. By connecting front office automation, clinical intelligence and financial performance within a single platform, we are expanding our reach, strengthening our product portfolio and positioning CareCloud to deliver stronger growth, improved margins and sustained value creation heading into 2026. Before I hand the call over to Norm Roth, our Interim CFO and Controller, let's listen to the patient call I mentioned earlier, demonstrate the depth and capability of our Agentic AI front desk solution [Presentation]
Norman Roth: Thank you, Hadi. That was a very interesting demonstration of our AI capabilities, and thanks, everyone, for joining our call today. We delivered another strong quarter, reflecting the strength of our business model and the disciplined execution of our strategic priorities. Positive earnings per share and strong cash flow underscore our continued operational efficiency and financial health. During the 9 months ended September 30, 2025, we generated $19.9 million of cash flow from operations compared to $15.4 million in the same period last year. In the third quarter, we reported revenue of $31.1 million, an increase of $2.5 million compared to the same period last year. CareCloud Wellness generated approximately $900,000 in revenue for the quarter and approximately $2.6 million for the first 9 months of this year. There was approximately $3.4 million in revenue related to the Medsphere acquisition, which was completed towards the end of this past August. In the third quarter, we reported GAAP operating income of $3.2 million and GAAP net income of $3.1 million. This is consistent with the GAAP operating income of $3.3 million and GAAP net income of $3.1 million during Q3 2024. The GAAP net income per share for the quarter was $0.04 based on the net income attributable to common shareholders, which takes into account the preferred stock dividends. There was a loss of $0.04 per share in the third quarter of 2024. Non-GAAP adjusted net income for the third quarter of 2025 was $4.4 million or $0.10 per share, calculated using the end-of-period common shares outstanding. We reported adjusted EBITDA of $7.7 million in the third quarter compared to $6.8 million in the same period last year. Revenue for the 9 months of 2025 was $86.1 million compared to $82.6 million for the same period in 2024. For the first 9 months of 2025, the company's GAAP net income was $7.9 million compared to GAAP net income of $4.6 million for the first 9 months of 2024. This equates to income of $0.07 per share after subtracting the preferred stock dividends. This compares to a $0.28 loss for the same period last year. Non-GAAP adjusted net income for the 9 months was $10 million or $0.24 per share. Year-to-date, the adjusted EBITDA was $19.9 million, an increase of $3 million from $16.9 million in the same period last year. As of September 30, 2025, the company had approximately $4.3 million of cash, net of restricted cash of $815,000. Net working capital was approximately $6.1 million. We have a new $10 million line of credit with Provident Bank. And as of September 30, 2025, the line of credit balance was $6.5 million. Since then, we have made $1.6 million of additional payments on the line of credit, bringing the balance today to $4.9 million. Our intention is to fully pay the balance on the line of credit as soon as possible. We remain focused on profitability and cash flow and delivering long-term shareholder value. We look forward to updating you at year-end. With that, I'll now turn the call over to Mahmud for his closing remarks. Mahmud?
Mahmud Haq: Thank you, Norm. As we look ahead to 2026, we remain focused on driving innovation, improving patient experience and creating lasting value for our shareholders. I want to thank our employees for their dedication, our clients for their continued trust and our shareholders for their confidence and support. Thank you. Operator, you can open the call for questions. Thank you.
Operator: [Operator Instructions] Our first question comes from the line of Allen Klee with Maxim Group.
Allen Klee: Great quarter. Starting out with your push into the hospital space. Can you talk about your plan to try to win new customers and grow sales? What's your go-to-market strategy on that?
Stephen Snyder: Allen, certainly. So if we step back for a minute and we think about what has transpired since our last earnings call, we would really focus in on 2 primary things. One would be the acquisition of Medsphere. The second would be Map App. If we think about Medsphere, Medsphere truly brings us from the position we were in a year ago roughly, where we were an ambulatory-centric provider to one that will serve the full care continuum. And [indiscernible] with it immediate credibility in community hospitals, acute care facilities, critical access hospitals and the like. And then the second would be Map App. So Map App brings with it the analytics engine and the credibility to be able to extend the throughput of the overall Medsphere operations and cross-selling within that same hospital segment. So if we think about the more immediate opportunities, our near-term opportunities candidly, will really be more so focused on cross-selling and upselling into that installed base. So we are now working with hundreds of hospitals throughout the country. And we have the opportunity to cross-sell our AI solutions to implement the AI solutions to embed them more fully in existing platforms, to cross-sell and upsell our RCM solutions into those existing relationships. That would be really the first order of priority. Our second order of priority will really be more focused on extending the same benefits that we're able to deliver to these existing customers to the broader hospital community with a focus initially on critical access hospitals. There are more than 1,400 critical access hospitals throughout the country. They are underserved in terms of their technology opportunities from a platform perspective and also in terms of the opportunity to avail themselves of RCM and AI platforms. So we see a significant opportunity to be able to sell into these critical access facilities. But that will really come in the order of second priority in relationship to the significant upsell and cross-selling opportunities we have in the existing base.
Allen Klee: My next question and after that, I'll go back in the queue and ask more after other people. For AI, how are you thinking about the rollout of the new -- your new offerings?
Stephen Snyder: Allen, thanks for your question. I think before even getting into the -- more specific to the products of this FTE Agentic AI product as an example, let's look at understand if we can take a note of how this whole AI landscape is changing and evolving, especially in the health care. And if you think about it in the first 6 months of 2025 alone, nearly $6 billion of venture funds into digital health and about 60% of that was captured by AI start-ups. So that level of investment is basically -- it's transforming the AI landscape and especially into the clinical, financial and operational workflows. And before, if you think about our own opportunity of this FTE into the space of this voice-based AI, as we all have heard about one of the prominent names, SoundHound, they did really well. They have demonstrated how scalable conversational AI can be across industries. If you think about it, I think the 2022 revenue was approximately $46 million to now they are they expecting the 2025 revenue to be about $160 million to $170 million. And with that, the market cap is around $7 billion today. So that success at least validates both the demand and the value creation potential for high-performing voice [indiscernible]. Now if you look at the health care, the biggest barrier is domain depth and compliance. Health care, as we all know, isn't just about understanding the speed, it's about understanding clinical context, payer rules, PHI privacy and interoperability standards. And if you think about CareCloud, we have been -- we have spent years in building the infrastructure and certification to make this thing possible. So while voice AI companies are great at natural [indiscernible], but we think that the CareCloud's advantages in operational execution into the health care workflows. So another differentiator, if you think about this AI front desk solution, it isn't just a bolt-on voice tool. It's natively built into our EHR and practice management platforms. which gives us a secure real-time access into the highly regulated clinical and financial data. So while SoundHound and many other companies have proven the commercial scalability of conversational AI, but CareCloud is bringing the same sophistication into the health care. And you have to think about this example of the call that we have played and we purposefully picked up a more complicated call, more difficult call, difficult accent and difficult questions, and it still kept even as the empathy factor into -- while answering those questions to the patients. So the 70% success rate, and this also includes even the call where patients specifically asked to transfer the call to the human agent. So if you remove that, the success rate or the call handling rate even would be much higher. So now with the Medsphere, more clients added to our ambulatory clients on our existing platform to ChartLogic platform. So we see between all of them, they probably handle millions and millions of calls each year. So we see a tremendous [indiscernible] there to be able to cross-sell and upsell into all this space. Sorry for the long answer to your question. I just wanted to make sure that how we are positioning this conversational AI and Agentic AI applications.
Operator: Our next question comes from the line of Michael Kim with Zacks Small-Cap Research.
Michael Kim: First, I guess, just in terms of M&A, I know you recently closed Medsphere and Map App. But just wondering, maybe taking a step back, what you're seeing from a competitive standpoint, particularly as it relates to buyer and seller expectations around valuations. And then related to that, I know you plan to pay down the credit facility balance in the coming months, but just curious how you're thinking about capacity from a funding standpoint going forward.
Stephen Snyder: Thanks, Michael. AI is absolutely driving conversations in the M&A space. And AI is creating pressure both amongst RCM companies and also health care IT companies like Medsphere and the Map App product. From an expectation perspective, companies who are looking to exit or owners who are looking to exit are -- seem to appreciate the fact that if they are not actively rapidly deploying AI throughout their overall service offering or platform that their anticipated expectation when it comes to valuation includes or bakes that into the overall formula. So maybe said more simply, companies who are not leveraging AI understand that they have a limited window of time to make an exit. And I think we're seeing that in terms of valuation. So think about the valuations of these 2 companies, again, these are both technology -- these are both technology suites. One was a technology company. The other one was a technology product created by a nonprofit in our space. But both of them recognize the fact that they didn't have the capacity to be able to build AI into their platforms and understood that their days were limited in terms of their ability to meet the end users' expectations. So from the perspective of valuations, I think that's the reality of what we're seeing. We continue to be open to opportunities where we can move forward with an asset purchase, opportunities that we can close without any dilution to the common shareholders, opportunities where we can continue to keep balance sheet flexibility and arrive at attractive valuations. And if all of those initial criteria are met, then we analyze whether or not there's a good fit from a product perspective and in terms of overall synergies. So -- if you think about where we started last year, we did not explicitly bake in any of the 4 acquisitions that we had into our overall expectations that we set and forecast. But nevertheless, that pressure that's building on the seller side resulted in these acquisitions this year.
Michael Kim: Got it. That's super helpful. Appreciate that. And maybe just to follow up on your comments around specifically Medsphere and Map App. Just curious how the structures of those transactions may have differed from prior deals in the past and how you think about kind of structuring going forward?
Stephen Snyder: Certainly. So at a high level, all 4 acquisitions that we closed this year really follow the same disciplined playbook for our accretive well-priced acquisitions. So they were asset purchases. Again, as I mentioned before, they were non-dilutive, maintained balance sheet flexibility, valuations of 1x or less. If we think about Medsphere in particular, which closed in late August, the price was $16.5 million, and we paid roughly half of that in cash at closing. And then we paid the balance of that through a credit facility. That credit facility was with the new bank, no warrants, very practical covenants and the like and a lower effective interest rate. So notwithstanding all of that, we have taken that initial amount, and we've reduced that by half. So from a practical perspective, we've paid from our internally generated cash. We've paid about 70%, 75% of that overall consideration from cash at closing -- I'm sorry, from cash generated internally. And we expect to be able to fully satisfy the remaining balance within the next number of months, whether it be next quarter, 2 quarters, we're not totally sure, but we're paying it off as quickly as we can. Map App has similar -- is similar from the perspective of the other 2 acquisitions that we closed. We paid all cash at closing. And again, an accretive acquisition, non-dilutive, very attractive valuation.
Operator: [Operator Instructions] Our next question comes from the line of Allen Klee with Maxim Group.
Allen Klee: I was just wondering, do you think for the acquisitions, if you're able to do the cross-selling, upselling synergies that they have the potential to get to the type of margins that your company has overall?
Stephen Snyder: Certainly. So our basic playbook, Allen, with regard to the acquisitions is from the perspective of looking out 3 months -- I'm sorry, 3 quarters or so to be able to get them to an operating cash flow margin of about 30% or greater. That's what we strive for. And with regard to the 4 acquisitions this year, we believe we're making good progress at getting to those numbers. So yes, and from an upselling, cross-selling perspective, we can upsell, cross-sell, for instance, RCM solutions, AI solutions and the like. And we can do that at extremely attractive margins. So the answer to your question is yes.
Operator: This now concludes our question-and-answer session. I would like to turn the floor back over to Norman Roth for closing comments.
Norman Roth: Thank you, everyone, for joining our call. Enjoy your day.
Operator: Ladies and gentlemen, thank you for your participation. This does conclude today's teleconference. You may disconnect your lines, and have a wonderful day.